Operator: Welcome to ITT's 2018 First Quarter Conference Call. Today is Friday, May 4, 2018. And starting the call from ITT today is Jessica Kourakos, Head of Investor Relations. She is joined by Denise Ramos, Chief Executive Officer and President; and Tom Scalera, Chief Financial Officer. Today's call is being recorded and will be available for replay beginning at 12 p.m. Eastern. At this time, all participants have been placed in a listen-only mode, and the floor will be open for your questions following the presentation. It is now my pleasure to turn the floor over to Jessica Kourakos. You may begin.
Jessica Kourakos - ITT, Inc.: Thank you, Laurie. I'd like to highlight that this morning's presentation, press release, and reconciliations of GAAP and non-GAAP financial measures can be found on our website at itt.com/ir. Please note that our discussion this morning will primarily focus on non-GAAP measures unless otherwise indicated. During the course of this call, we will make forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. No forward-looking statements can be guaranteed, and actual results may differ materially from those projected. We undertake no obligation to publicly update any forward-looking statement, whether as a result of new information, future events or otherwise. Forward-looking statements made on this call should be evaluated together with the risks and uncertainties that affect our business, particularly those disclosed in our SEC filings. So let's now turn to slide number 3 where Denise will discuss our results.
Denise L. Ramos - ITT, Inc.: Thank you, Jessica. Good morning, everyone. Thank you for joining us today to discuss ITT's record first quarter financial results and the significant operational and strategic progress we delivered in the quarter. On the heels of a very strong 2017, the momentum we carried into Q1 allowed us to deliver ITT records in orders, sales, adjusted operating income, and adjusted EPS. And in each category, we delivered double-digit growth compared to the prior year. Total revenue was up 10%; total orders, up 14%; segment OI, up 22 %; and EPS, up 20%. In addition, segment margins improved 140 basis points to 15%, and working capital as a percent of sales improved 90 basis points excluding FX. As I reflect on our Q1 performance, I'm energized by the significant progress we continue to drive in the three main focus areas that underpin our strategy as a company. Those are execution, growth and innovation, and effective capital deployment. These are the key elements of our enterprise strategy. These are the areas that our dedicated people are driving with intensity every day. And these are the areas where we still have tremendous upside potential. So let me start with the execution highlights. In Q1, Industrial Process and Connect & Control Technologies, each produced margin improvements of about 300 basis points. IP's productivity enhancements, supply chain actions, restructuring benefits and project execution improvements, all contributed to IP's 57% growth in adjusted operating income and their 320-basis-point improvement in operating margins. CCT produced 28% adjusted operating income growth and 290 basis points of margin improvement. That included a 530-basis-point improvement in components and a 70-basis-point improvement in connectors. These results were driven by productivity, supply chain, and benefits from the combination of the CCT leadership team. As we look ahead, not only do we continue to expect triple-digit margin increases from both IP and CCT in 2018, but we also anticipate significant gains over the coming years as we further rationalize and implement Lean across more of our global footprint. And as more of our innovation and growth initiatives drive the top line, this volume benefit will only add to the already significant operational upside we see ahead of us. In the strategic focus area of growth and innovation, we once again achieved significant progress. In the quarter, Motion Tech continued its track record of gaining share across multiple global market categories. MT was awarded important new automotive platforms in North America with two major OEMs. And these North American wins included expanded front axle and copper free share gains. We expect to see an acceleration of our win rate in North America based on the customer engagement generated by our new state-of-the-art facility in Mexico. In China, we won eight new awards, including four for EV and hybrid platforms with local Chinese OEMs. We get asked a lot about the visibility we have at MT based on our accelerating track record of OEM award wins. So I want to provide some insights today on the long-term vitality and growth potential we see in our friction OEM business. As it relates to visibility, the current OEM friction awards that we've already won represent $3 billion in future revenue through 2022. Keep in mind that OEM represents only 45% of MT's revenue. We also have tremendous visibility in the long-term aftermarket demand, but our focus today is on OEM. In addition to these existing OEM awards, we also see significant growth potential in these following areas: share gains in key growth markets like China and North America, where we currently have less than 20% share of the OEM segment today; leveraging our global footprint to expand into new markets in South America and Asia; increasing our content with local Chinese OEMs that currently represent less than 20% of our revenue in China, but are growing at a CAGR of 50% since 2016; accelerating our EV/hybrid growth capture strategies; expanding our content per vehicle, including increasing front axle content; increasing our win rates in growth categories like copper-free pads; and delivering on-board solutions that leverage ITT's revolutionary SMART Pad technology. ITT SMART Pad has gained significant market traction since its launch last year and we are now in advanced discussions with multiple customers for on-board production applications. So, with our $3 billion of OEM award visibility and these additional growth opportunities, we expect to continue to significantly outperform the OEM markets we serve well into the future. At CCT, we have intensified our focus and investment in driving innovation across target categories, where our teams have identified significant share gain opportunities. CCT is guided by an entrepreneurial compass that leads them to capture unique opportunities for critical components. This approach is paying dividends. For example, orders for our high-power electric vehicle charging connectors grew nearly 200% across multiple regions, as we continue to be a market leader in this growth segment. And in rotorcraft, a market that is also seeing intensifying demand, orders grew 80% on share gains with Bell Helicopter. These types of actions drove CCT to its highest order quarter since the spin in 2011. Now, lastly, turning to capital deployment. In the first quarter, we executed $50 million in share repurchases. And in addition, we also continued to invest in our North American friction facility, as production officially ramped up in Q1. We also continued to invest in our friction electric vehicle innovation and testing capabilities in China, as well as increased R&D on ITT SMART Pad and e-pad products. As you can see, ITT is well-positioned to capitalize on growth in the electrification of premium transportation at both MT and CCT. Lastly, we continued to effectively manage our net asbestos liability by executing an important insurance settlement that drove our net liability under $500 million for the first time. As a result of our progress in our three strategic focus areas, we are raising our full-year adjusted EPS guidance. Our new EPS midpoint of $3.05 per share represents an increase of $0.10 per share from the low end of our previous guidance. At the new $3.05 midpoint, we are projecting 18% growth versus the prior year, largely driven by segment operating income growth. So, now, let's turn to slide 4 to discuss our financial results in more detail. In the first quarter, we delivered 2% organic revenue growth, 4% organic order growth, 22% adjusted segment OI growth, and 20% adjusted EPS growth. The organic revenue growth was driven by a 5% increase in the transportation end market. MT was the biggest contributor to our transportation strength, as global OEM friction increased 9.5%, partially offset by anticipated aftermarket weakness in Europe. Let me provide some additional context on our friction OEM share gains in Q1. Friction OEM outgrew the European market by 7 times. And in China, we grew 10%, and in North America we grew 15%, with both results comparing favorably to markets that were down 3%. Industrial revenue grew 4%, driven by a 25% increase in pulp and paper, and a 15% increase in mining. And oil and gas, which represents 10% of ITT's total revenue, was down 10%, primarily driven by lower up and midstream projects in North America. Shifting to orders. Total orders increased 14%, or 4% organically. Organic orders, excluding a $26 million prior-year oil and gas order, actually grew 8%. The growth was driven by OEM growth in global automotive friction at MT and 9% growth at CCT from strong aerospace connectors and components demand. These gains were partially offset by a 17% decline in pump projects. However, excluding the large project, orders grew 44% on strength in petrochemical, mining, and general industrial projects. We have also seen over a 45% increase in the project funnel at IP compared to last year due to increased capital investment activity across major end markets, including oil and gas. Q1 adjusted segment operating income grew 22% and reached a record level of $103 million. Our balanced results this quarter reflected double-digit operating income growth from each segment. Adjusted EPS of $0.77 per share exceeded our expectations, and was 20% higher than the prior year. The EPS performance reflected the strong segment growth that included favorable FX, partially offset by higher corporate costs. The Q1 tax rate of 23.8% drove $0.03 of EPS improvement, primarily due to benefits from international tax strategies. Lastly, it is important to note that we once again funded an incremental $0.04 of long-term strategic investments, primarily supporting long-term North American automotive platform wins, as well as the continued development of the ITT SMART Pad. Turning now to slide 5. Here you can see that our intensified focus on execution under the direction of Luca Savi, our Chief Operating Officer, is starting to generate significant margin momentum. The margin expansion was primarily driven by 160 basis points from operating productivity, supply chain effectiveness, and restructuring actions. Other drivers of margin expansion included improved project performance at IP. We also achieved double-digit margins in our connector business at CCT. And at MT, Wolverine produced 200 basis points of margin expansion due to strong net productivity gains generated by the strengthened operational foundation. Let me highlight here that every one of our businesses has significant additional long-term margin upside potential from these current levels, and we are actively working these through intensified operational reviews and proactive actions. But today, we're energized by the 160 basis points of net operating productivity, the 15% margin attainment, and the fact that underlying these results was a 90-basis-point improvement in working capital as a percent of sales, excluding FX. With commodity costs being an important input in the margins, particularly at MT, let me take a moment to clarify our exposures and our mitigation strategies. ITT procures most of its raw materials, primarily steel, in Europe for our European MT operations. This insulates us from some of the concerns over U.S. tariffs on steel and aluminum. So, while I think the steel tariffs are less of a concern for us, the increases in global steel prices that we feel today are real. And I think our teams are doing a nice job of addressing this headwind with our suppliers and customers. In the first half of last year, you may remember that we locked-in lower commodity prices, creating a tough margin comparison at MT for the first half of this year. However, in Q1 2018, across ITT, we offset this impact through supply chain efficiencies. In other words, we actually produced a benefit from material savings net of material increases. In the first quarter, we also implemented price recovery actions to minimize price pressure at both MT and IP. And we were pleased that IP's price actions offset first quarter material cost increases. We will continue to aggressively drive both supply chain and pricing strategies across all three segments that more than offset various inflationary pressures. Now, I'd like to turn it over to Tom to discuss the first quarter segment results and our updated guidance starting on slide 6.
Thomas Scalera - ITT, Inc.: Thank you, Denise. Starting with Motion Technologies on slide 6. Total revenue increased 19% to $342 million. Organic revenue increased 4%, driven by global strength in OEM friction that was partially offset by anticipated softness in the European aftermarket due to customer phasing and destocking. For the first quarter, friction OEM grew 9.5% versus a global market decline of 1%. Momentum in rail continued, primarily driven by growth in high-speed rail in China and freight sales in Eastern Europe. And Wolverine was another bright spot in the quarter, producing double-digit OEM growth on strength in Europe and Asia. Adjusted segment operating income at MT increased 13% to $63 million. The income growth reflects volume leverage, increased productivity and favorable foreign exchange, partially offset by price, unfavorable aftermarket mix, higher commodity costs and $4 million in strategic investments. In addition, Wolverine produced 200 basis points of margin expansion due to strong net productivity gains generated by the strengthened operational foundation that the team has been steadily building since the acquisition. And we continue to expect the non-friction businesses to drive operating improvements that will help deliver solid Motion Tech margin expansion in 2018. In the quarter, we continued to invest in our new friction facility in Silao, Mexico, which is now officially ramping up production. And in Q1, we were awarded two important platform wins with two major North American OEMs. We are very excited about our prospects as we gain operational momentum in the North American market. Moving on to Industrial Process on slide 7. Q1 total revenue grew 2% to $190 million on flat organic revenue. Short-cycle revenue was in line with the prior year, as strong aftermarket service sales and an improving valves business were offset by a decline in oil and gas baseline pumps in Asia. Project activity declined 1% with solid global petrochem and general industrial sales offset by lower North American oil and gas. Organic orders at IP were down 7% due to a prior-year oil and gas order in Africa for $26 million. Excluding this, orders were up a solid 5% and are showing some momentum heading into Q2. In addition, on a sequential basis, Q1 organic orders improved 7% compared to Q4 2017. Our overall project funnel in Q1 was up over 45%, including a 100% improvement in oil and gas activity. And earlier this week, we won a $14 million oil and gas order. Short-cycle orders were down 4% due to a large prior-year spares order from Europe and Africa. However, on a sequential basis, short-cycle orders improved 6%. IP's adjusted segment operating income increased 57% to $17 million. This increase was driven by restructuring savings, productivity improvements, favorable mix, some short-cycle price realization, and improved project execution. Compared to the prior year, margins improved 320 basis points to 9%, which is already above last year's full-year margin level and is a great jumping off point for the rest of this year as we target full-year margins growing into the low-double digits. Turning to Connect & Control Technologies on slide 8. Before we look at the results, we'd like to point out that there is solid operational momentum building inside of CCT, and we believe that this business will gain additional interest as it continues to deliver incremental value over the coming years. So, with that, in the quarter, Connect & Control Technologies grew 3% to $158 million on flat organic revenue. Aerospace grew 4% on triple-digit growth in rotorcraft and strength in commercial aerospace connectors. Defense revenue declined 6% due to anticipated connectors' weakness that was partially offset by components' strength. General industrial markets grew 1% due to global energy absorption demand and electric vehicle connectors supporting charging station infrastructure expansion. Oil and gas connectors improved 3% on increased activity in the Middle East. CCT's organic orders improved 9%, representing the highest order quarter ever in CCT's history. The order growth was driven by a 23% increase in commercial aerospace, led by strong rotorcraft orders which have already reached levels to support 100% of our 2018 rotorcraft revenue targets. In addition, aerospace components, aftermarket and environmental control system orders, all improved 18% or better in the quarter. Outside of aerospace, we saw 20% order growth in oil and gas and 4% growth in industrial and transportation markets led by EV charging connectors. Adjusted segment operating income increased 28% to $23 million, representing margin growth of 290 basis points over the prior year. The segment operating income growth primarily reflects improved net productivity, including restructuring benefits from the integration of the CCT leadership team. As we indicated on the 2018 guidance call, CCT is expected to produce modest top-line growth, as new platforms continue to ramp and offset legacy program transitions. The real story for CCT in the short-term will be the triple-digit improvement in margins that we will drive through improved execution and the sustained momentum we have generated inside connectors. In addition, CCT is expected to benefit from restructuring and efficiency actions, as we enter a new phase of opportunities from the integration of the CCT businesses. So, with that, let's now turn to our 2018 guidance update on slide 10. We continue to expect total revenues to be up 5% to 8% and underlying organic growth of 2% to 4%. Some of the primary drivers of the growth include global friction and rail share gains, increased commercial aerospace activity, and improved demand in industrial and chemical markets. Our markets are generally performing in line with our expectations entering the year. And while we are seeing an uptick in our project funnel, we do not expect that activity to convert into revenue in 2018. We are raising the low end of our previous EPS guidance by $0.10 due to an improved confidence in our operational execution. The midpoint of our adjusted EPS guidance range increases by $0.05 to $3.05, representing 18% growth. And it is important to note that our forecasted 2018 tax rate range of 23% to 24% provides only modest benefits compared to the full-year 2017 rate of 24.3%. So our continued focus on operational execution in stabilizing markets will drive our 2018 growth. I'd also like to highlight that since we've executed the $50 million in share repurchases we planned for the year, we are now projecting a full-year 2018 diluted share count of approximately 88.6 million shares. Lastly, I would like to provide some insights into our Q2 expectations. We expect total revenue and segment margins to be in line with Q1 levels. We expect Q2 adjusted segment margins at IP and CCT to improve versus both Q1 and Q2 2017 levels, while at MT margins are expected to decline versus Q1 and 2017 due to investments, commodity costs, and unfavorable aftermarket mix. Q2 corporate costs are expected to be higher than Q1 due to environmental and other functional costs. Lastly, Q2 adjusted EPS is expected to be generally in line with Q1 2018, representing solid growth compared to Q2 2017. So, in summary, we delivered a solid start to 2018 that reflected strong execution and the acceleration of our strategic growth priorities. And as a result, we are raising our EPS guidance to specifically reflect that performance. So, now, let me turn it back to Laurie to begin the Q&A session.
Operator: The floor is now open for questions. Your first question comes from the line of Jeff Hammond of KeyBanc Capital Markets.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Hey. Good morning.
Denise L. Ramos - ITT, Inc.: Good morning, Jeff.
Thomas Scalera - ITT, Inc.: Morning, Jeff.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Okay. So, just on IP, I mean it seems like still some puts and takes in some of the oil and gas markets, and I think you commented on project. With oil kind of pushing $70, can you just give us a little more feedback on maybe at least some of the short-cycle business more meaningfully inflecting into the second half?
Thomas Scalera - ITT, Inc.: Yeah. Jeff, I think out of the gates, the oil and gas business particularly on the project side, is still creating an overhang for us in both orders and revenue. Obviously, we had the large order last year. But what we're kind of encouraged by is we have seen an increase in the funnel, particularly in oil and gas projects, primarily in the downstream and the midstream categories. So we do think there's been an increase in kind of project activity that's starting to build. We mentioned we had a $14 million order that just took place at the end of April. So we've had some good momentum, I would say, building on the project side. Again, that revenue for projects would be recognized when we ship those projects. So there's always some uncertainty in the timing of the projects. But we are seeing more activity. On the short-cycle on oil and gas, I would say it's been a little bit more mixed story. We did have probably a little bit of pressure in the quarter in some categories. Like, in Asia, we had some pressure in oil and gas baseline pump. So I would say we haven't seen a real new trend line on the short-cycle side of oil and gas. We did have a strong year last year. But I would say that, at this point, we would expect to see some improvements as the year goes on in the short-cycle oil and gas, but it wasn't very strong so far in Q1.
Denise L. Ramos - ITT, Inc.: With IP, when you think about the breakdown of the end markets in IP, oil and gas is the one that we're watching very carefully from both a project perspective and a short-cycle perspective, probably starting out the year a little bit lower than what we might have anticipated. What we're really happy about, though, is when we see some of the other major markets that we're in such as chemical, mining, and even general industrial, pulp and paper in particular, that we're seeing some really nice projects in the funnel, and we expect to see some nice short-cycle coming through in those areas also. So you sort of have the oil and gas as a challenge for us and these other markets that we're pretty excited about at this point.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Okay. And then, on CCT, the growth overall, core has been muted for some time but it seems like there's some inflection certainly over the last couple quarters. What does it take to really start to see that drop through where we start pushing into kind of mid-single-digit growth rate for CCT? And I'll get back in queue. Thanks.
Thomas Scalera - ITT, Inc.: Yeah. No, thanks for the question, Jeff. There is a lot of good momentum brewing inside of CCT, a lot of growth and innovation and market share capture in nice growth categories like EV charging stations and rotorcraft, and a number of other kind of developing areas including in commercial aerospace, which is a very important market. It's about 60% of CCT. And we are starting to increase our share gains with Airbus and Airbus suppliers. So there are a lot of areas for growth within CCT. And I think what we're still kind of funneling through some of our legacy programs, particularly in aerospace and defense, which are going through kind of ramp-down transitions. At the same time, we're starting to see some of these other growth categories start to ramp up. So we're seeing that intersection right now. But I think, as we go forward, we're going to see a lot more benefit from these growth categories and a lot less drag from the legacy programs.
Denise L. Ramos - ITT, Inc.: Yeah. And one of the things I'll add to that is on the defense side of the business for them. We had a number of programs, some large programs last year that were flowing through CCT that we're not seeing flowing through this year from a revenue perspective. So, that's tampering down a little bit the revenue for them. But, as Tom said, we're pretty excited about some of these new wins that they've had and some of these additional areas that they've gotten into with rotorcraft with that ECS business that we bought. Now that we've consolidated the facilities into one facility, we expect to see some additional volume coming through from a revenue perspective with that. So you do have some puts and takes, but we really like what we're seeing in terms of the future in some of these new areas that we've gotten into.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Okay. Thank you.
Thomas Scalera - ITT, Inc.: Thanks, Jeff.
Operator: Your next question comes from the line of Jim Giannakouros of Oppenheimer.
Jim Giannakouros - Oppenheimer & Co., Inc.: Hi. Good morning, Denise, Tom.
Denise L. Ramos - ITT, Inc.: Hi, Jim.
Thomas Scalera - ITT, Inc.: Morning, Jim.
Jim Giannakouros - Oppenheimer & Co., Inc.: Following-up on IP pricing on the base business and aftermarket, I suspect more resilient in aftermarket but small local players probably remain aggressive there. Any color on what you're seeing in pricing, specifically on base business and aftermarket? That would be helpful. Thanks.
Denise L. Ramos - ITT, Inc.: Yeah. We put through some price increases in IP around the January timeframe and we did it both on parts and baseline. So we're seeing the benefit of that flowing through. We also put in a price increase in the fourth quarter of last year associated with parts. So we are passing some of the higher material costs through from a revenue perspective. And, in fact, if you look at IP, for the first quarter, the benefit that we got from a pricing perspective basically offset the cost of materials for IP in the first quarter. So we were happy to see that linkage and to see that happening. So we pass it along when we have the opportunity to do that, and we saw the opportunity and we did that.
Jim Giannakouros - Oppenheimer & Co., Inc.: That's great. Thank you. And thank you for the additional color, Denise, on the current OEM friction awards. I think you cited $3 billion in revenue through 2022. I just want to make sure I'm thinking about that right. Is that incremental? That's I should be thinking $600 to $750 million per year through 2022? Does that include what you're already having in hand? Because I know we're always talking about platform wins, platform wins, and I always think incremental. But it feels like, in that $3 billion, that incremental would be astronomical. So, if you could just kind of frame that a little bit for us. Thanks.
Denise L. Ramos - ITT, Inc.: Well, first off, thank you for the question because I knew that we would have to explain this a little bit more. But the intent is we wanted to put in perspective the awards that we always talk about that MT wins, because we cite them many times on these calls and we know it's really hard to kind of pull it all together and say, what does this all mean. So, let me give you some perspective. The $3 billion represents the future volume expected based on the awards for OEMs that we've already won. So what's not included in that number would be any future awards. The aftermarket is not included in that. Anything associated with SMART Pad and commercialization of SMART Pad is not included with that. So it's looking today at what we've won to say, based on what we've won, it would generate for OEM $3 billion, close to $3 billion of additional volume for us over the five-year timeframe. I hope that helps.
Jim Giannakouros - Oppenheimer & Co., Inc.: It does. Thank you.
Operator: Your next question comes from line of Adam Farley of Stifel.
Adam Michael Farley - Stifel, Nicolaus & Co., Inc.: Yeah. Hi. Good morning. Thank you for taking my questions.
Thomas Scalera - ITT, Inc.: Hey, Adam.
Adam Michael Farley - Stifel, Nicolaus & Co., Inc.: You talked a lot about productivity within Motion Technologies kind of helping to offset price, talked about Europe and sourcing in Europe. We're wondering, specifically with OEM contracts, are those fixed pricing or do you work with customers maybe on a one-on-one basis with pricing? How accepting of pricing have they been? Just a little more color there, please.
Denise L. Ramos - ITT, Inc.: Sure. From an OEM perspective, as you know in the automotive industry, from a contractual perspective, there are price declines on an annual basis. And so, what you then do is you work with them one-on-one in terms of the amount of that price decline that's going to come flowing through on an annual basis, considering what's happening from a commodity perspective and other costs. So, typically what we've been realizing from a price decline has been anywhere from 1.5% to 2%. Because of what's been happening with steel prices this year, we've talked to the customers and we've been able to bring that down a little bit this year, so that the price impact to us this year on those existing contracts is about 1%. So, that's how it works from a pricing perspective. And then in, addition to that, because of what's been happening with commodity costs, as we said, we aggressively go after other supply chain initiatives to help offset that and other productivity initiatives within the Motion Tech business to help negate what we're seeing from a material cost perspective. The other thing we do is, where it makes sense, where we can do some hedging through our suppliers, we will do that, which is what we did last year and we locked-in prices for about six months out of last year. And then, in addition to that, any new awards that we get, we factor in the higher steel prices and the higher costs.
Adam Michael Farley - Stifel, Nicolaus & Co., Inc.: That's very helpful. And then, kind of shifting gears, cars are becoming more smarter and they're basically computers on wheels. Can you talk about how your technology and how SMART Pad is progressing, maybe how the brake pad market is headed and kind of how your tech is differentiated?
Denise L. Ramos - ITT, Inc.: Sure. Well, I would tell you, we're at the forefront of this. We've been working very aggressively on it and not only in our main facility in Barge, but we also have recently created in a new building in Wuxi, we've created an innovation and testing facility there, which is really exciting because we do see change happening in the automotive industry. And so, with the SMART Pad, we started out with the SMART Pad as utilizing it as a development tool with our customers. And, now, we're beginning to work with our customers to talk about on-board applications with the SMART Pad, and that's going extremely well. The other thing that we're doing, and we're focusing this activity in China, is with the electric pad because we see opportunities where we can produce an e-pad that's going to be much more efficient and effective in an electric vehicle than what is used today, which is typically the same type of a pad that's used in a conventional vehicle. So those are the steps that we have that we're focused on and, again, we're at the forefront of this opportunity.
Adam Michael Farley - Stifel, Nicolaus & Co., Inc.: That's great to hear. Thanks for taking my questions.
Denise L. Ramos - ITT, Inc.: Sure.
Thomas Scalera - ITT, Inc.: Thanks, Adam.
Operator: Your next question comes from the line of Matt Summerville of D.A. Davidson.
Matt J. Summerville - D.A. Davidson & Co.: Thanks. Just got a question on the auto aftermarket piece within MT. Can you talk about what your organic outlook is for that business in total in 2018? And also remind what was the cause of the surge in buying in the fourth quarter? Was there some sort of inducement for your aftermarket partners to buy up, only to begin destocking one quarter later? I'm just trying to understand why that would have made sense for them.
Thomas Scalera - ITT, Inc.: Sure. Yeah. Thanks, Matt. So, for the year, we expect the aftermarket to kind of be flattish low-single digits for us. It's really came out of the gates with some customer phasing and destocking activity. So, two different channels, two different behaviors. In the independent aftermarket, we have really over the last probably 12, 16 quarters have seen a real varying pattern in orders coming from our primary customer. And we think that variation is just going to keep happening from quarter-to-quarter. While we have pretty good annual visibility, we've really seen this shift in the way that they're managing their inventory levels and their order patterns. And I think that's just going to be the nature of the independent aftermarket. It's going to continue to be erratic, but with the full-year numbers generally much more evident to us as we begin the year. So, not much more we can say there on the independent aftermarket. On the dealership aftermarket, the OES side, we did see one of our customers do some destocking of their inventory in Q1 based on the way that they're managing their service network. So, that was a customer-driven event in Q1. We expect maybe to see some of that to pick back up as the year progresses. But at this point, again, both events were customer-driven. And we expect to get back to some stable results by the end of the year, but it did have an impact in Q1, particularly on the margins at Motion Technologies from a mix perspective compared to the prior year. But unfortunately, Matt, I think it's just something we manage quarter-to-quarter. And we have good annual visibility, but quarter-to-quarter the variation is really coming from our customer demands.
Matt J. Summerville - D.A. Davidson & Co.: When you net all the moving parts together with pricing and input costs for ITT overall, for the full year, do you anticipate OP (41:56) dollar headwind, or is there a way that you can quantify that, either in dollars or basis points, what the net headwind – and maybe the answer is zero, but what the net headwind might be for the full year? And has that changed versus your guidance that you provided a couple of months ago?
Thomas Scalera - ITT, Inc.: Matt, there's been a little bit of an uptick but not very much, for all the reasons that Denise articulated. Our goal is, and typically this is the approach that we take, is that our supply chain actions are wired to more than offset the increases in material costs. And that is again the case this year. I would say supply chain is an area that we're continuing to drive increased efficiency and effectiveness. So, when you look at this kind of new opportunity source for us, I think with our new operating model, we are definitely identifying supply chain opportunities sooner, capturing them and realizing them much more effectively than we have in the past. I think this is a disproportionate opportunity for ITT relative to some of our peers to continue to drive supply chain actions and efficiencies. So, for the year, we do expect to net out positive on those supply chain actions above material costs, even including a little bit of the uptick that we've had since our initial guide.
Denise L. Ramos - ITT, Inc.: Let me add just a little bit more color to that to help you understand. So, as Tom said, driving supply chain is really important to us and we see a lot of opportunity there. And we are forecasting for the full year that that would benefit us more than the hit that we would take from a materials perspective. Price, because of MT and what happens with that, tends to be somewhat of a negative for us. But when you add the price in supply chain and materials together, basically around flat for the year. But in addition to that, we're not just driving supply chain opportunities, but we've had restructuring. We're seeing the benefits of restructuring flowing through and we've also been driving productivity hard across the businesses. So, that adds then to our margin and our profitability that's over and above the fact that we've offset the commodity increases.
Matt J. Summerville - D.A. Davidson & Co.: Got it. Thank you very much for the color.
Denise L. Ramos - ITT, Inc.: Thanks, Matt.
Operator: Your next question comes from the line of Mike Halloran of Robert W. Baird.
Mike P. Halloran - Robert W. Baird & Co., Inc.: Good morning, everyone.
Denise L. Ramos - ITT, Inc.: Hi, Mike.
Thomas Scalera - ITT, Inc.: Hi, Mike.
Mike P. Halloran - Robert W. Baird & Co., Inc.: So, let's start on the capital deployment side. I think, Tom, your comments were that you guys went through the amount of share repo you were expecting for the year already. Maybe some updated thoughts on whether additional repurchases could be on the table moving forward. And then, secondarily, maybe just a conversation about what the M&A pipeline looks like, multiples, actionabilities, things like that?
Thomas Scalera - ITT, Inc.: Sure. Yeah. Thanks, Mike. I think, on repurchases, we wouldn't rule out additional activity. I would say our priority right now is to really assess the M&A opportunities that are out there. It does seem like there's been an uptick in assets and opportunities on the M&A front. I think we're also getting a lot of focus within our own platform analysis of where we want to focus our M&A activities. So, I think at this point, we're going to keep powder dry and really prioritize M&A for the next couple of quarters and see if there are any opportunities that would materialize, given how active the environment is. On the multiple front behind what we're seeing, I would say there's a little bit of upward pressure, but I don't think there's been a major reset in expectations. So the types of assets that we're seeing right now, I would say generally aligned with what we've historically seen with a slight increase, but nothing that is particularly troubling. So our focus will be on M&A. We'll keep our powder dry, but we wouldn't rule out additional repurchases if that made sense down the road.
Denise L. Ramos - ITT, Inc.: And when we look at M&A, we look to build platforms that we have today in our portfolio. So, similar to what we did with Axtone, building on a rail platform, we like to continue to build there. Think about the ECS acquisition that we did in aerospace, growing market, we like that space. Material-science technology, which is one thing that we saw with the Wolverine acquisition, continuing to build in that space. And then, what we're also looking at in a broader way today is not only M&A, but also thinking about partnerships and JVs. That can really come into play when we're looking at expanding our markets through product lines, through technology and expertise in technology, through geographical reach. So we've kind of expanded our thinking not just from an M&A perspective straight acquisition, but also through some of these other avenues with partnerships and JVs.
Mike P. Halloran - Robert W. Baird & Co., Inc.: Are there any areas of your portfolio that are off limits for add-ons at the time in terms of expanding? (47:13)
Denise L. Ramos - ITT, Inc.: Yeah. It's hard to say because you've got various product lines within each one of these businesses. And so, as you delve into the businesses, there might be some areas that you'll say, maybe later, not quite ready yet from an operational perspective. But there's a lot that we've got. And when you see the improvement that we're doing from an operational perspective, that says that more of these avenues are going to be open to us somewhat I might have seen maybe a year, a year-and-a-half ago.
Mike P. Halloran - Robert W. Baird & Co., Inc.: And then, on that last point, areas where you've seen improvement on the IP margins. Could you just talk a little bit about how those tracked relative to your expectations this quarter? It certainly seemed healthier than our expectations. And does that give an upward trajectory to what you guys were thinking entering the year with the certainly low-teen expectations? Does that give that an upward bias, or has this been about what you guys were expecting this kind of improvement?
Thomas Scalera - ITT, Inc.: Mike, I would say that probably a little bit ahead of our expectations coming in at IP. I think we did see good performance across the board, even though the short-cycle sales was probably a little lower than we expected. So, good underlying fundamental operations. And a lot of that's coming from a storyline that we keep talking about, which is our improved execution on projects. And kind of certainly comparing the last year where we were executing some of the more difficult projects, I think we've really turned the corner and have improved that capability inside of IP. So I'd say a little bit of a good start ahead of our expectations on the margins. We have not changed our view for the full year. We still are projecting triple-digit growth in margins, as we've said, and to exit the year in kind of that low-double-digit range. So, on track but encouraged by what we've seen. We'd like to see some more short-cycle momentum pick up. That's always been a factor in the IP margins. So, while the project performance has stabilized and that's something we're going to keep working on, a lot of opportunities there, but stable. I think the factor that we always watch as a real regulator on where IP margins go quarter-by-quarter is going to be the intensity of the short-cycle mix.
Mike P. Halloran - Robert W. Baird & Co., Inc.: Great. Thanks, Tom and Denise. Appreciate it.
Denise L. Ramos - ITT, Inc.: Thanks, Mike.
Operator: Your next question comes from the line of Brett Kearney of Gabelli & Company.
Brett Kearney - G.research LLC: Hi, guys. Good morning. Thanks for taking my question.
Denise L. Ramos - ITT, Inc.: Hi, Brett.
Thomas Scalera - ITT, Inc.: Hey, Brett.
Brett Kearney - G.research LLC: I just want to ask the recent addition of Carlo to the leadership team. And just in line with your guys' productivity efforts and the organic growth opportunities continue to have in front of you, whether there's additional adds to the leadership team that you expect?
Denise L. Ramos - ITT, Inc.: Well, we're very excited about Carlo. And I know Luca is very excited about having him on-board, too. Carlo is inheriting a very good business in Motion Tech. He'll bring different experiences, a different perspective. We're looking forward to what he's going to have to offer there. And so, we're excited about that. He just went into the job, I want to say, a month ago. So, he's assessing and thinking and understanding the operations that we have. But I'm sure that he's going to be able to add a lot of value and continue that strong progression that MT has and just continue it going forward. So, really happy about having him on-board.
Brett Kearney - G.research LLC: Great. Thank you.
Denise L. Ramos - ITT, Inc.: Thanks, Brett.
Operator: Your next question comes from the line of Joe Giordano of Cowen.
Joseph Giordano - Cowen & Co. LLC: Hey, guys. Good morning.
Thomas Scalera - ITT, Inc.: Hey, Joe.
Denise L. Ramos - ITT, Inc.: Hi, Joe.
Joseph Giordano - Cowen & Co. LLC: Hey. Denise, I just want to – again, I know we've clarified partially the $3 billion in MT. I just want to understand, so that's new stuff and that's not purely incremental, right, because you'll have some roll off of existing platforms between now and then. Just curious how that – what kind of does that imply for like a 2019, 2020 kind of addition when you think about like the timing of how that's going to roll out, if production schedules hold to what they're initially staying right now?
Thomas Scalera - ITT, Inc.: Yeah, Joe. So the number really is all of the awards that we have and all the projected production behind those awards through 2022. So it's going to factor in the timing of those projects and the long-term visibility that we have for those. So...
Joseph Giordano - Cowen & Co. LLC: So, that's like a total portfolio number, not like incremental to what you're run rating at right now?
Thomas Scalera - ITT, Inc.: That's the total OEM revenue projections that we have inside of our five-year forecast.
Joseph Giordano - Cowen & Co. LLC: Okay.
Thomas Scalera - ITT, Inc.: And again, it doesn't include any of the non-friction businesses, it doesn't include any of the aftermarket. It's just the OEM piece, which is what we usually talk about. And just to give some perspective, over the last two years, we've been outgrowing the global markets with an OEM friction anywhere from 5 to 7 times market. The type of awards that we already have in-house and the visibility that those give us on the OEM side, allow us to continue to project that type of growth relative to the global OEM markets that we serve. So the intention was just to give, again, visibility into what do all these awards that we've generated mean? What do they add up to over the next five years? How much visibility does it give us? And again, anything incremental, anything that happens really from this point forward, any new award, any new opportunity that we're looking at on the OEM side, those would be additive to this base. And we have many years of opportunities that we're going to keep chasing, but those would be additive. This is real solid, stable projection that we have out to 2022.
Joseph Giordano - Cowen & Co. LLC: Great. That's perfect. And in terms of like the restructuring, I mean it's good to see less add-backs now, I know it's always been kind of a work in progress. Can you talk about what your outlook is for ongoing restructuring and where like those kind of one-offs kind of trend over the next few years?
Thomas Scalera - ITT, Inc.: Yeah. So the restructuring in total for the year from an expense perspective is pretty much in line with what we planned coming into the year, pretty consistent with last year's total restructuring spend. The difference, Joe, is that we'll be focusing more on some of the recently acquired businesses, particularly at MT. We'll also continue to look at integration opportunities within CCT as we put those organizations together and look for leverage in operations and other synergies. And then, lastly, on the IP side, we've taken some actions and we'll look to additional footprint opportunities and other cost out actions. So, by and large, pretty consistent with last year, I would just say different focus this year in the actions that we're going after.
Joseph Giordano - Cowen & Co. LLC: Okay. And then maybe just last for me. Some of the issue with IP margins had been delivering some challenging backlog. How comfortable are you with the margin profile of like the large projects you're booking now? You mentioned the oil and gas deal in April. How comfortable are you that when you deliver those projects, they're accretive to where you're currently – current profitability?
Thomas Scalera - ITT, Inc.: Yes. So, each project margin profile is very different, Joe, as you can imagine.
Joseph Giordano - Cowen & Co. LLC: Sure.
Thomas Scalera - ITT, Inc.: So we do put a lot of rigor upfront. Certainly, before we even enter competitions, we're much more focused on realizing the margins that we project when we go into the order process. So I would say it starts very, very early, earlier than probably we have in our past of getting the teams together to really look at the margin for new projects before we kind of commit. And then I think we have an ongoing review activity for the projects that we have in-house to really again make sure that the margin that we targeted is the margin that we ultimately deliver. A ton of opportunities to continue to make improvements. We've increased the operational foundation around project execution. But there still are significant opportunities in supply chain and inside of our operations to deliver perhaps even better than what we thought coming in when we booked the margin. But I wouldn't say that there's a discernible trend because each product is so different. But I would say that our performance these days is much more in line with what we planned when we went out and won the project in the first place.
Joseph Giordano - Cowen & Co. LLC: Good. Thanks, guys.
Thomas Scalera - ITT, Inc.: Thanks, Joe.
Denise L. Ramos - ITT, Inc.: Thanks, Joe.
Operator: Thank you. This does conclude today's teleconference. Please disconnect your lines at this time, and have a wonderful day.